Operator: Good morning. My name is Kristin, I will be your conference operator for today. At this time, I would like to welcome everyone to the WestRock Third Quarter FY15 Earnings Conference Call. [Operator Instructions] As a reminder, slides are being presented today as part of the conference call. These slides can be accessed at www.westrock.com under the investor page. Ladies and gentlemen, this call is being recorded today, July 30. [Operator Instructions] Your speakers for today's call are Mr. Steve Voorhees, Chief Executive Officer; and Mr. Ward Dickson, Executive Vice President and Chief Financial Officer. Mr. Voorhees, you may begin your conference.
Steve Voorhees: Good morning. Welcome to the first WestRock conference call. This is Steve Voorhees, Chief Executive Officer. I appreciate you investing your time to learn more about our new Company. I'm joined this morning by Ward Dickson, Chief Financial Officer; Jim Porter, President of our Paper Solutions business; and Bob Beckler, President of our Packaging Solutions business. During the course of the call, we will make forward-looking statements involving our plans, expectations, estimates and beliefs, related to future events. These statements may involve a number of risks and uncertainties that could cause actual results to differ materially from those that we discuss during the call. We describe these risks and uncertainties in our filings with the Securities and Exchange Commission, including our WestRock S-4 filing, and the most recent 10-K's and 10-Q's, followed by our predecessor Companies, RockTenn and MeadWestvaco. We will also refer to non-GAAP financial measures during the call. We've provided reconciliations of these non-GAAP measures to the most directly comparable GAAP measures in the appendix of the slide presentation. The slide presentation is available on our website. Since we napped the merger in January, we've been working on integrating the predecessor organizations into WestRock. We have enthusiastic alignment across the Company about our aspiration to be the global, industry leader in consumer and Corrugated Packaging markets. And, we've made substantial progress in structuring our organization externally, with our customers and suppliers, and internally across our 275 operating and business locations around the world. We've identified and organized ourselves to capture the synergies and performance improvements, that we have available to us from the merger, and also from the momentum both organizations had, going into the merger. We're very excited about the strength of our new Company and the opportunity to protect real value for our customers, stockholders and employees. I feel good about the progress we're making to develop the WestRock culture. Of course, our success depends on delivering strong results. With that in mind, I'm turning to what we've done in the most recent quarter. Because the merger closed on July 1, we are not reporting consolidated WestRock results this quarter. We are reporting RockTenn's complete financial results for the June quarter. We're also reporting net sales and segment income information from MeadWestvaco. We do not plan to report to complete financial results for MeadWestvaco for the June quarter. While I understand this may be of interest to the investment community, we've chosen not to maintain the administrative infrastructure, and incur the expense necessary to report MeadWestvaco's complete financial results. The segment results show the detail regarding the current performance of our business. And, we're providing details about the combined results of both Companies in our new segment reporting structure. We have accomplished a tremendous amount since announcing the merge six months ago. And, I want to thank the WestRock team for maintaining our focus on serving our customers, and operating very efficiently, while at the same time working diligently on integration. The financial results in the June quarter for each predecessor Company bears this out. RockTenn's adjusted EPS of $1.15 increased by 17% over last year. MWV segment income increased by 7%. Our combined segment income was up 10%. I'm particularly pleased with the strong returns in the WestRock Corrugated Packaging business in North America and Brazil. In our Consumer Packaging business, Folding Carton, Food & Beverage and Home, Health & Beauty all performed well. We're delivering on the envisioned benefits of our combination. At the time we announced the merger, we committed to a $300 million merger-related synergy target that represented approximately 7% of the revenue of MWV packaging business. This was on top of the approximate $700 million in the ongoing contribution for programs we already had in place, to improve productivity through process improvement and capital investment. Going forward, we will track the total $1 billion synergy and performance improvement target. The overall goal is more readily identifiable in our financial statements, and we'll avoid the non-value added effort of determining whether an individual action is merger or performance related. We expect to reach the billion dollar target before the impact of inflation, by the end of FY18. This represents approximately 7% of our total revenue, excluding the Specialty Chemicals business. By the end of this September quarter, we expect to be at a run rate of $150 million in merger-related synergies and performance improvements. An additional benefit of the merger is the ability to combine the over-funded MWV pension plans with the under-funded RockTenn plans. During the first week of July, we merged our US qualified pension plans. And as a result, we will avoid over $550 million in future pension contributions, including $14 million that would have otherwise been contributed on July 15. Our confidence in achieving our future cash flows, supports our stockholder return strategy that we announced on July 1. And, is comprised of $1.50 per share dividend and a 40 million share repurchase authorization, that we intend to use to achieve our target leverage ratio of 2.25 times to 2.5 times. Our pro forma leverage at closing was right at 2 times. WestRock will report our results in four business segments. Corrugated Packaging will generate approximately $2 billion in quarterly sales, and will include the RockTenn North American Corrugated Packaging business and Recycling business, and the MWV Brazilian and Indian Corrugated Packaging businesses. At $1.7 billion in quarterly sales, Consumer Packaging will include RockTenn's Consumer Packaging and Merchandising Displays business, and MWV's Food & Beverage and Home, Health & Beauty businesses. Specialty Chemicals and Land and Development will continue as separate segments. Sales of our Corrugated Packaging business are approximately $8 billion per year, with the production of 8.5 million tons of a wide variety of paper brands. Of our 8 million tons of production in North America, our box plant system converts about 5 million tons per year, into corrugated packaging. The remaining 3 million tons are sold to independent corrugated converters in North America, and other international markets. We've operated an integrated system in Brazil for over 60 years. In 2013, we completed a $500 million investment, including a new paper machine, to grow our corrugated packaging business. About 2/3 of our approximate 500,000 tons of production is converted in our own box plants. I visited these operations last month and was very impressed with the quality of the assets, and the outstanding team we have in place there. Turning to the results for the June quarter for our combined corrugated packaging segment, industry demand for corrugated packaging in the United States increased by 1.3%, as measured by daily box shipments, compared to last year. Exports grew by approximately 11%, compared to last year. We exported 316,000 pounds during the quarter, 30,000 tons more than both the March quarter, and last year's quarter. Industry operating rates continued to be solid in the 96% range. We delivered very strong result in North America, as measured by our 200 basis point EBITDA margin improvement, to 19.4%. The performance of our box plant system was a highlight of the quarter. Our volumes increased by 3.9% compared to last year. In July, we've maintained this performance. Box volumes are up 4% over last year. We continue to benefit from the cumulative impact of many areas of improvement, executed by our team over the past four years, including quality and customer service. We're now halfway through the installation of 30 EVOL flexo-folder gluers. And, our results today have exceeded our exceeded our expectations. Overall, corrugated box pricing in North America was up 0.6%, as compared to the March quarter, and down 1.5% compared to last year. Pricing of domestic containerboard increased about 1% on a sequential basis, and also increased about 1% as compared to last year. Average export pricing declined by 1% from the March quarter, and was down 8.5% compared to last year, due to the strength of the US dollar. Pricing for containerboard for export to Latin America remained stable. Linerboard continues to be tight, but we have taken some economic downtime in medium, to match our supply with our demand. During the June quarter, we took 104,000 tons of maintenance downtime, and less than 20,000 tons of economic downtime. We expect only 4,000 tons of maintenance downtime in the September quarter. Our Recycling operation improved profitability during the quarter with segment income of $2.5 million, after a loss in the March quarter of $400,000. This was a result of rising recycle prices and a strong operational cost focus. Consistent with recycling's primary mission of sourcing high-quality fiber for our mills, in June, the recycling group started exporting 6,000 tons per month to our India mills. This has improved fiber quality and reduced our delivered cost. Turning to Brazil, Economic conditions remain challenging. While industry demand declined by 2%, we delivered outstanding results with box volume growth of 15%, year over year. EBITDA margins of 28.7% were very strong, up 530 basis points compared to last year. We've seen gains with major national meat and produce customers, as well as growth in food oils and chemical markets. We were successful in raising prices to offset cost inflation. The new containerboard machine in Brazil continues next to operate extremely well. June quarter shipments of 125,000 tons set a record, and were 7% higher than one year ago. We're integrating the North American containerboard export business with our export business in Brazil, to increase our efficiency and the value we can provide international customers. Sales in our Consumer Packaging business are approximately $7 billion per year. Null production is approximately 4 million tons of a wide variety of paper grades. All of our null production is in North America. Our largest mill is Mahrt, Alabama, which produces over 1 million tons coated natural kraft. Our SBS system produces 2.1 million tons from mills in Covington, Virginia; Demopolis, Alabama; Evadale, Texas; and La Tuque, Quebec. We serve markets with high quality requirements, including Food & Beverage, Tobacco and commercial print markets. The recent acquisition of the Carolina branded product line from International Paper improves our position in this attractive segment of the commercial print markets. Our recycled system includes nine mills producing 1 million tons of coated and uncoated recycled paper board. Our folding cartons system consists of 34 plants across North America and Europe, and generate sales of about $2 billion. The WestRock Consumer Packaging business includes our Home, Health & Beauty dispensing business, with approximately $600 million in sales. The combination of our dispensing business with our paper packaging businesses provides a unique differentiated offering to these customers. And, we are fully exploring these opportunities with our customers, with very good success. Interestingly, the top four Home, Health & Beauty customers account for more than $150 million in sales, and these same customers purchased 500 million of corrugated boxes, folding cartons and displays, from WestRock. Packaging has a very significant impact on our customer's success in their markets. The breadth, depth and scale of WestRock's Consumer and Corrugated Packaging solutions capabilities provides us with a unique opportunity to engage our customers, to work together with us, to help them be successful. Many of our customers are engaging with us on that very basis. I don't think any other company has the same opportunity. And, I'm optimistic about what I've seen so far. That I believe we are, and will be, able to provide perspective, products and services, that will support our customer's success and provide a runway of growth for WestRock. Turning to the results for the Consumer Packaging segment. Overall industry null operating rates are stable, with CRB showing the greatest strength. Industry backlogs for CRB are 33% higher than last year, and our backlogs are approximately four weeks to five weeks. We've recently informed our customers of a $50 per ton price increase for CRB, effective next month. Industry SBS backlogs have weakened since last year, and our system backlogs are at approximately three weeks to four weeks. After a good beverage season, demand for our coated natural kraft remained solid. And, backlogs are roughly four weeks to five weeks. The Food & Beverage business reported a 13% increase in income, on flat sales, and overcame currency headwinds that reduced sales by $22 million, and income by $5 million. Beverage sales reflected volume growth and share grains in global beer, that were offset by ongoing weakness in carbonated soft drink sales. All major regions, including North America, Europe and Asia, contributed to our overall sales growth in beverage. Our food business, in the quarter, was mixed with ongoing weak demand in the US retail food markets. Despite this, we saw demand growth in food service, tobacco and selected retail food applications. During the quarter, we also began successfully on-boarding the Carolina business, and we'll transition to full production from International Paper at the end of the calendar year. For the RockTenn Consumer Packaging system, sales were flat with last year, while income increased by 11%. EBITDA margins improved by 140 basis points, to 17.9%. Our converted volumes increased by 4% over the prior year, as we captured new business, leveraging the manufacturing capabilities in our folding carton system. Over the last 18 months, we've started up new processes at our Knoxville, Tennessee; Nicholasville, Kentucky; and Clinton Iowa plants. Moving to our Merchandising Displays business. Industry demand for promotional displays is soft, driven by a number of factors, including the shift to the clean floor policy of a major retailer. Merchandising Displays sales declined by 13% compared to last year. While income declined compared to last year, income more than doubled compared to the March quarter. We're working to match our cost structure to our anticipated levels of business, through a number of actions, including streamlining our operations. And, have announced the closure of facilities in Tullahoma, Tennessee; Chattanooga, Tennessee; and Lima, Ohio. In the Home, Health & Beauty business income improved by 18%, on lower sales, continuing the productivity improvement trend that we've seen for the past several quarters. Sales declined by 12%, compared to the prior year. But, decreased only 4% on a constant currency basis. The negative currency translation impact was expected, as more than 30% of the sales are from Western Europe. The business executed very well commercially and operationally. We continue to gain volume in value-added segments, including fragrance and trigger sprayers. Specialty Chemicals is a $1 billion business with EBITDA margins of over 25%. About 75% of the business produces performance chemicals, including asphalt additives, oil field chemicals and a variety of other products. The Performance Chemical business adapts its refining process to changing market demand. As an example, when demand for oil field chemicals has declined, we've been able to produce other products, including our asphalt additive products, to mitigate the impact of this change in market demand. The activated carbon business accounts for 25% of the segment revenue, and has a very strong position in global automotive markets. The business has grown and sustained attractive profitability, based on its consistent ability to identify opportunities and bring value-added solutions to market. We've been investing to expand capacity in Specialty Chemicals. Capital expenditures have been $100 million over the past 12 months, which includes our estimate of ongoing maintenance capital needs of $35 million per year. The most significant growth project has been in China, where we have invested in a Greenfield activated carbon plant that will increase our capacity to serve the global automotive market by 15%. This plant will help us maintain our leadership in activated carbon, which is expected to grow with new, more stringent, global automotive emission requirements being phased in over the next several years. As much as we like the Specialty Chemicals business, it's not core to WestRock. And, we continue to work towards spinning this business off into a new Company called Ingevity. We're well into our CEO search, and expect to make an announcement in August. We intend to file the initial Form 10 in September. While we anticipate that we will be prepared to initiate the spin at the end of December, we are following guidance from our advisors that the best timing, from an equity capital markets perspective, will be to launch the spinoff to stockholders during the March quarter of 2016. For the June quarter, Specialty Chemicals revenue declined 8%, but was down 4% on a currency adjusted basis. Currency headwinds impacted the top line by $11 million. The business had record sales of asphalt additives, and activated carbon, in the quarter, partially offsetting weakness in oil field chemicals and other markets. Our patented warm mix paving solution, Evotherm, had strong performance in the US and Europe. Awareness of the performance and sustainability benefits of Evotherm continue to grow. The activated carbon business remains strong, with a growing portion of sales coming from higher-value solutions that address the more stringent automotive emission standards mandated by US regulatory agencies, that phase in beginning in 2017. Segment EBITDA margins were 26.7%. On a constant currency basis, EBITDA margins were 27.9%. The business continues to perform exceptionally well. WestRock Land and Development is our legacy land development business. Which, after entitling approximately 100,000 acres for development, selling over one million acres of timber and recreational land for over $2 billion, over the last eight years, has now focused on the value-added monetization of the remaining approximately 80,000 acres of development land. Primarily, located in and around Charleston, South Carolina. Most of the projects are held in partnerships with Plum Creek Land Company, and others, and are managed by WestRock. Growth channel trends in the Charleston, South Carolina market are very positive. The Port of Charleston is growing. Boeing continues to expand its 787 manufacturing facility. Daimler-Benz is building a new $500 million Sprinter van manufacturing facility, which will employ 1,300 people. And, Volvo recently announced the construction of a $500 million manufacturing facility that will employ 2,000 people. Last Friday, WestRock sold a 6,600 acre track for $34 million, for all Volvo's new manufacturing facility. It's nearby commercial and industrial land holdings and master plan communities, including Nexton and Summer's Corner, are well-positioned to benefit from the ongoing regional growth around Charleston. We expect these very favorable market dynamics to support the acceleration of development land sales over the next quarters. We're continuing to pursue the disciplined development of infrastructure, and facilities, necessary to match the increased demand for land from users, developers and home builders, at a pace that maximizes value for stockholders. WestRock will generate significant cash flow that will be available to be reinvested in the business, or return to stockholders. We have and will focus on capital allocation. It's critical to our success. We expect to have a tract of opportunities to invest in our business. We've invested $1.8 billion in capital expenditures in our business, during the past two years, including $865 million during the past 12 months. These investments include a new paper machine in Brazil, a new biomass boiler at our Covington, Virginia mill, a new wood yard in Florence, South Carolina, 15 new EVOL flexo-folder gluers in our box plant system and the new activated carbon plant in China. WestRock stockholders are the beneficiaries of these investments. We've recently completed our capital budget for FY16. The capital budget processes included identifying projects through the multiple lenses of the market, our business strategy, the situation at individual locations. We've prioritized these projects by business and location, in light of the aggregate fit with our business strategy. We plan to invest approximately $850 million in capital, during FY16. We estimate maintenance capital to be $500 million. For the $350 million in return generating projects, we expect to return un-levered after-tax returns in the range of 20%. The key return generating capital projects in the paper solutions business are the Demopolis biomass boiler, the rebuild of the bark boiler at Mahrt, the carbonate cook project at the Stevenson, Alabama mill and the evaporator upgrade at the West Point, Virginia mill. Key return generating projects within the packaging solutions group include, the installation of seven additional EVOL flexo-folder gluers in our box plants and three additional presses at our Folding Carton plants, along with the conversion of our plant in the Czech Republic from tobacco to beverage operations. We will make other investments in beverage and Home, Health & Beauty, to respond to specific customer requirements. Of $850 million, about $35 million is for Specialty Chemicals in the December quarter, prior to spinoff. After investing the capital necessary to support and improve our business, WestRock will be able to return significant capital to stockholders. During the past 12 months, the combined companies paid $310 million in dividends, and bought 265 million of stock. We would have bought back more stock had we not been prevented from doing so, as a result of the merger. We've increased the annual dividend rate to $1.50 per share, or $400 million. And, we are in a position to buy back up to 40 million shares of stock, to move to and maintain our target leverage ratio, that's in the range of 2.25 times to 2.5 times. I like the management team of the combined company. This group has come together extremely well. And, we're working together effectively to with our company forward. As many of you know, our Corporate Management team including me, our Chief Financial, Accounting, Human Resource and Sustainability Officers, as well as our General Counsel, are all located in Norcross. Our Chief Communications and Chief Strategy Officer's will be relocating to Norcross. We will continue to have a very significant presence in Richmond, which will be the location of our consumer paperboard, beverage, and Home, Health & Beauty businesses, as well as the center of our Research and Development functions for the entire company. And WestRock University, the center of our talent development activities. The work that we've done on integrating the businesses, the work we've done on the dividend, share repurchases and the capital budget, the work we've done to put our organization in place, combined with the strong results we've posted for the June quarter, provide us with a firm foundation and momentum as we enter the first year of WestRock. I'll now turn the call over to Ward. And, I will come back after Ward's comments and wrap up the call. Ward?
Ward Dickson: Thank you, Steve. Slide 14 is the RockTenn segment income bridge for the June quarter. We had strong growth in segment income, with an increase of $32 million. The combination of price and mix was a negative $34 million, related primarily to the decline in export containerboard, and pulp pricing, over the last year. There has been some price and mix decline in box pricing over the last year, but only at approximately 1.5%. Cost deflation continued to be a benefit during the quarter, with reductions on both recycled fiber and virgin fiber. Recycled fiber prices were down approximately 23% from last year. Our overall virgin fiber costs were down 3.8% from last year, from a combination of lower prices, capital investments and the implementation over the last two years of our new wood buying strategy. We continued to make strong productivity gains, generating $31 million in benefit in the quarter, with good momentum as we move to the $1 billion target for combined merger-related synergy and performance improvements. D&A, a non-cash item, was $9 million unfavorable. Last year, we recognized a $9 million gain, recording previously unreported spare parts inventories. MWV segment income improved by $14 million over last year, despite the effects of currency. Cost deflation was a $12 million benefit, with gains in energy, fiber and chemicals. Ongoing productivity and margin improvement programs created $21 million in higher earnings, and provide a good platform for our current initiatives. Pension income was $13 million lower, on a quarterly basis. Immediately after the merger announcement, we started on the integration, analysis and preparation. And, developed detailed plans for every synergy opportunity. We engaged outside advisers to help us in the certain areas. The billion dollar target includes both companies specific cost reduction and performance improvement targets of approximately $700 million, and the merger-related synergies target of $300 million. Over one half of the $1 billion target will come from our ongoing productivity and performance improvement programs across our manufacturing footprint, and cost savings from capital investments. Almost 30% will be from procurement opportunities. And, the remainder will be from manufacturing optimization and reductions from the elimination of duplicate corporate costs and support functions. The billion dollar performance improvement savings will be realized at about a third over each of the next three years. We expect to realize a run rate of a $150 million in savings by the end of September. The elimination of duplicate corporate expenses will be realized quickly. We have developed concrete plans behind each of these areas, and have pushed the savings goals down to each business and function. Everyone will be held accountable for realizing these targets. Total transaction related costs were approximately $115 million. And, the estimated cost for us to capture the merger-related synergies are approximately $100 million. We estimate 20% to 30% of this will be paid from pension plan assets. I want to highlight that the billion dollars is before inflation. Labor benefits and insurance expense accounts for approximately $3.5 billion per year. And, normal inflation on this category should be approximately $100 million per year. The balance of our inflation will depend on commodity price trends, and could add another $125 million to $175 million in inflation per year. We will update the investment community on our progress against our target, as part of our quarterly results. We bring a disciplined cost focus to the business and are instilling that view across 42,000 employees. We are currently rolling out allocations of the applicable corporate overhead cost to each business and cost center. And, we know from our past that it drives full accountability and visibility across the organization. By fully allocating costs, the businesses are able to challenge the corporate departments on their cost and spending. And, management can determine where the best returns and investments should be made, if at all. Our post-merger balance sheet is very strong, as opening leverage is approximately 2 times, and our maturities are very well spaced out. Both S&P and Moody's reaffirmed their ratings on WestRock at investment grade. Our $4.9 billion bank financing package has attractive terms. And, combined with our other facilities, provides us with more than $3.5 billion of current available liquidity to execute, on our disciplined and balanced capital allocation strategy. With leverage at 2X and our stock price at these levels, we have an opportunity to move rather quickly, to increase our leverage toward our 2.25 times to 2.5 times leverage target. Our current debt mix is 62% fixed and 38% floating. Our combined average interest rate is about 4.7%. Our marginal cost to borrow on our available lines is less than 1.35%. Before turning back to Steve, let me provide you an overview of some of the key assumptions that will help you in your modeling of our September quarter. Although our purchase price accounting work is not yet finalized, $270 million is our current estimate of depreciation and amortization for the quarter. Of that, approximately $70 million is quarterly intangible amortization expense, or $280 million on an annual basis. This will flow through our SG&A line, and should be considered when making comparisons of our SG&A expense, versus peers. We will do everything we can to drive unnecessary costs out of our business. For example, we are actively working to sublease the entire New York Park Avenue office space, and will seek to set sublease currently available space in Richmond. We are evaluating other opportunities to sublease available space across our Company. Effective with our July 2 pension plan merger, we are approximately 109% funded on a GAAP basis, in our US plans, and are embarking on a de-risking liability-driven pension investment strategy that is approximately 80% bonds. The corresponding expected return on the asset portfolio is 5.87%, which is reducing our forecasted pension income to about $8 million for the quarter. By moving immediately on merging the pensions plans, we saved $14 million in pension contributions, that would have been due on July 15. We have provided a cost of goods sold breakout, which outlines our cost pools across our entire manufacturing footprint. In addition, we have provided 18 annual commodity consumption volumes to help you. The current estimated annual dollar spend across these eight categories is approximately $2.8 billion. As we think about our exposure to foreign currencies, we look at our geographic revenue mix overall. Which is 79% North American and 21% outside of this region. Of this 21%, approximately half is comprised of exports of containerboard and paperboard, that are priced primarily in US dollars. The remainder is sold in local currency. Our largest foreign currency exposures are related to the euro and the Brazilian Real. We estimate that he 10% strengthening of the dollar against these currencies would have a $30 million negative impact to EBT, on an annual basis. Back to you, Steve
Steve Voorhees: Thanks, Ward. Trends in most of our markets are stable to positive. This includes overall containerboard, paperboard and packaging markets. Raw materials prices are also relatively stable. With respect to the outlook for the September quarter, we expect that the performance trends we have seen over the past quarter will continue. And that, our success in the quarter will be influenced by how we perform and maintain our momentum, including capturing the opportunities available to us as a result of the merger. When we announced the merger on January 26, we said that, together, we are creating a global industry leader in consumer and corrugated packaging. A company with true competitive advantages, including an outstanding organization, a market focused customer centric strategy and scale. We said that we'd be leveraging the strengths of both companies into a larger, more balanced and more global, business that the combined company would have an enhanced presence in the marketplace that will provide substantial opportunities for profitable growth. We said that we'd have the financial strength and flexibility to enable this growth. All that remains true six months later, in fact, after six months, I feel even better about this combination, WestRock, than I did in January. We have a strong foundation and a near-term road map to capture the billion in merger-related synergy and performance improvement opportunities, by the end of FY18. We are very focused on cash flow generation, overall. Corrugated and Consumer Packaging are attractive businesses, where scale and differentiation matter. We offer a set of products, services and scale that can't be offered by any other company. This provides us the opportunity to grow. We have the cash flow available to invest for growth on a disciplined basis. And also, the ability to return the significant cash to stockholders, via dividends and share repurchases. I want to thank you for your time and interest. We will now turn the call over for Q&A. Operator, please open the lines.
Operator: Thank you, Sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mr. Mark Weintraub from Buckingham Research. Sir, your line is open.
Mark Weintraub: Thank you. And, thank you for that thorough overview of the new entities, very informative. What I was hoping to get was, first of all, any sense as to the pacing on the share repurchase? Or, how we should think about how you're coming at the share repurchase program? And then, just two cash flow questions. One being, in terms of pension contributions going forward, are you now expecting any? And of what magnitude, if so? And then last, let me stop there.
Steve Voorhees: I'll let Ward respond to the pension question. With respect to share repurchases, we have our program out. There's a variety of ways we can go about implementing that, and just haven't come to a final conclusion yet.
Ward Dickson: With the pension plan, obviously with the merger of the US plans, we don't need to make contributions. We still have the partially unfunded pension plan in Candida, and we will be making contributions of around $35 million in the year.
Mark Weintraub: Okay. I'll get back in queue.
Operator: Alright, thank you. Our next question comes from Mr. George Staphos from Bank of America Merrill Lynch. Sir, your line is open.
George Staphos: Thanks everyone, and good morning. I guess the first question I had for you, in past quarters, you've provided and earnings-per-share guidance for the upcoming quarter. If you mentioned it here I missed it. If you did not mention it, I'm guessing it's because there's so many moving parts with write-ups, with the acquisition accounting, et cetera. That, it may be is not fruitful for you to do that. Could you comment to that end, whether you'll be providing quarterly earnings guidance on a going forward basis? And then, specific to the productivity goals and inflation, would it be fair to assume that, because of your actions, that the labor inflation, and to some degree even the commodity inflation, should trend lower in years 2 and 3 of the program, such that you maybe get some widening of spread, and improvement in earnings from that source, thanks.
Steve Voorhees: We did not provide guidance and you just hit the mark on why. We just haven't come to a conclusion about whether we'll provide revenue guidance going forward. With respect to the labor question, Ward, do you have thoughts on that?
Ward Dickson: George, if you look at the overall synergies and performance improvements within the billion dollar goal, labor is a component of it. We identified that the labor across the whole company, so that's both the SG&A pool and the manufacturing and indirect manufacturing expenses, $3.5 billion per year. It is a component of the synergy pool. But, as you can tell, the largest individual item in the synergy pool is the procurement savings that we're going to have, by having that combined leverage of the two companies. So I think trying to project what inflation and commodity price movements are going to be over the three-year period is hard. We just try to put a stake in the ground for you.
George Staphos: Ward, if I could just ask a follow-on, just on the guidance. Then, I'll turn it over. Historically, the fourth fiscal quarter was RockTenn's largest quarter. Would there be anything now, in terms of the mixture of the two businesses, supply chain, what have you, such that that would not be the case? Again, recognizing that there are going to be lots of moving parts in this particular quarter. Thank you.
Ward Dickson: As we look at the underlying performance of the business, some of the trends that Steve highlighted. I would say that we're seeing continuing into the fourth quarter. We will start to recognize some of the initial synergies, related to some of the corporate overhead pools. But again, the primary reason that we described for not giving guidance in the quarter was that, we truly want to close the books for a month. We've got a lot of moving pieces, as you described, with the opening balance sheet and the consolidation.
George Staphos: Okay. Thank you.
Operator: Thank you. Our next question comes from Mr. Philip Nadeau. Sir, your line is open.
Philip Nadeau: Good morning, strong quarter, congrats on that. You outpaced the market pretty nicely, on the corrugated site. How sustainable is that? And, do you start comping that benefit in Q4? And, any color in terms of how trends are shaking out in July would be great.
Steve Voorhees: I'll let Jim Porter respond to that.
Jim Porter: Good morning, Philip. We're pretty excited about the performance of our corrugated business, and the progress that we've made over the last number of months, we believe are solid and sustainable. Obviously, there's market variations that we have to adapt to. But, we've done tremendous work at changing the culture of our corrugated business, and investing in the assets. And, building a very execution-oriented manufacturing process. And, one focused on providing innovative solutions to our customers. That, we believe, is being received very well. I hope that gives some color, that supports our view.
Philip Nadeau: Got you. And Jim, I think last quarter, you guys were talking about how, in corrugated, you were going to build some inventory, and go into fiscal fourth quarter, you're going to draw it down. Can you provide any update on that front?
Jim Porter: The question is on containerboard inventories?
Philip Nadeau: Yes. I think if I remember correctly, on the last call, you mentioned you were going to build some inventory and fiscal 3Q and then draw it down in fiscal 4Q. Any update on that front would be helpful.
Jim Porter: Okay, exactly. Inventories are something that we micro-manage, if you will, to ensure that we can provide adequate supply to our internal packaging operations, as well as our customers. And, we've just completed a large downtime quarter. Being the last quarter. And so, our inventories dropped, as did the industry inventories dropped. As we reflect on inventories in general, I know there's a lot of press on the costs for current industry inventories, relative to the average 10-year inventories. And, we just think that's really not apples to apples, today. Examples being that, we acquired the Smurfit-Stone assets in 2011. And, they just had a very unsustainably low level of inventory. That was not capable of providing our internal packaging operations the ability to perform, with appropriate on-time delivery and supply chain costs that were sustainable. And so, we today focus our inventories on what is the optimal safety stock, doing supply chain math to try to manage that very crisply. And so, we think inventories are at a sustainable level. That is something that we will flex with changes in our mill operating uptime, and the conditions in the market relative to rail and truck availability et cetera.
Philip Nadeau: Okay. That's helpful. If I could sneak one in for Ward. If I heard you correctly, you're looking to potentially ramp up your leverage pretty quickly to that 2.25 times to 2.5 times. Is most of that going to be used for buybacks? Or, maybe some cushion for M&A? How should we be thinking about that? Thanks.
Ward Dickson: The 2.25X to 2.5X, and our capital allocation strategy, is one about balance. We have the authorization in place to be able to go ahead and execute around the share repurchase. And, we have the liquidity to do that, and to take advantage of acquisition opportunities as they arise. I think the message that we gave when we announced the strategy is, it's one of balance. We'll be able to execute on any of the levers.
Philip Nadeau: Okay, very hopeful. Good luck on the quarter, guys.
Ward Dickson: Thanks.
Operator: Okay, thank you. Our next question comes from Mr. Mark Wilde from BMO Capital Markets. Sir, your line is open.
Mark Wilde: Good morning. Steve, I wondered just going back to this billion dollar number. If you could just give us a little color on how you think about the interplay between taking costs out, and actually dropping that to the bottom line, versus the ongoing cost reduction that you have to do to stay competitive in the business?
Steve Voorhees: Both of those factors are considered in the billion dollars. We have got some feedback that maybe the billion dollars might be light. I think a billion dollars is a lot of money, and if we can do that, that will be a tremendous performance. And, I think we are looking at trying to optimize the business. And, I want to be able to grow the business overtime. And so, that's the balance that we need to be looking at and will look at.
Mark Wilde: When you put it all together, how much of that billion do you think you can actually hold onto?
Steve Voorhees: I think the expectation is we - are you talking about from a -
Mark Wilde: From a margin standpoint, how much of that really is in margin, and that you can retain in margin?
Steve Voorhees: I really can't speculate on that because we're in a competitive business. A lot of companies are doing very similar at times. All I know is that, the billion dollars is the opportunity I see that WestRock has, today, as we said. And, I feel very good about our ability to do that. Okay. And Steve, one other question. I've been with you a few times over the last six or eight months, where you've talked about the importance, in transactions, of just getting the culture right from the get-go. You want to provide just a little color on what you're doing, right now, to the culture right? We've invested a lot of time integrating both organizations. I think both organizations are a lot more complementary and similar than I think a lot of people thought. We're not taking it for granted. We're investing a lot. The management's going out and identifying the issues which are out. And, we are addressing them. I'm very optimistic about the organization coming together. I prefaced, or made an initial comment, that we have got enthusiastic alignment about the aspiration that we have for WestRock and everywhere I've been, and I've been a lot of places over the last several months, that resonates very clearly across the organization.
Mark Wilde: Okay, great. Good luck in the coming quarters.
Steve Voorhees: Thank you, Mark.
Operator: Alright, thank you, sir. Our next question comes from Mr. Adam Josephson from KeyBanc. Sir, your line is open.
Adam Josephson: Thanks, good morning, everyone and congratulations on your solid performance of thus far. Jim or Steve just one on containerboard. Steve you said, or I believe earlier, that the linerboard market is tight. We've seen the export data, kraft linerboard exports up pretty significantly, year to date. And, obviously, prices are down to some extent. So, can you just reconcile the statement that the linerboard market is tight, with the significant increase we've seen in exports year to date?
Steve Voorhees: Go ahead, Jim.
Jim Porter: We have seen significant increases in export. And, we have a very tight linerboard environment in North America. Our market place is the world. We, of course, have a very strong position in the North American independent converter community. But, we also sell to most countries of the world. And, that's been our philosophy, to try to diversify our mix to those markets. And, we see solid demand in every one of them Relative to the currency impact of a strong US dollar, that does it have pressure on price. The good news is, is that price hasn't dropped at par with the currency changes. And, frankly, much of that change in currency-related price occurred in the last quarter of 2014, in the last two quarters of 2014. And, our current year at three quarters has been relatively solid. We think much of that impact is gone. We're seeing strong markets in the world and prices firming.
Adam Josephson: Just one follow-up to that. I appreciate that the global market is growing, but are you surprised that exports are up? Kraft linerboards are up 9%. I wouldn't think that global demand would be growing at that kind of rate.
Jim Porter: What we see is that virgin containerboard is very much in demand. The international markets of recycled containerboard, which trade at lower levels, the substitution has occurred. And so, the growth in agricultural markets of the world are being fueled by virgin containerboard. And, we don't see that surprising at all. And, frankly, that's our underlying premise for being heavily invested in that business.
Adam Josephson: Thanks. And, just one on OCC. Do you have any thoughts, long-term, as to where OCC is most likely to go? And, what implication do you think that would have on North American containerboard industry competitive dynamics?
Steve Voorhees: Great question. We have tried to, and always do, build trend-lines out into the future and the only thing for certain is they're usually wrong. What we see in the current marketplace that the global market has firmed. China has been somewhat sleepy for the last number of months and quarters. For the last three months, there was some firming. However, it's softened again. We think that generally the recovered-fiber markets are firm. We do not see any runaway trend occurring. Relative to long-term, it's a global market, both wood and recovered fiber. We'll likely have some upward inflationary trend, but we would guess those to be in balance, as recovery rates increase globally. And the marketplace plays out.
Ward Dickson: And, to the question of North American competitiveness we think the cost structure of the North American containerboard business is highly competitive with anywhere else in the world. And so, we like our position.
Adam Josephson: Thanks, a lot. Best of luck in the quarter.
Jim Porter: Thanks.
Operator: Alright, thank you. Our next question comes from Mr. Chip Dillon with Vertical Research Partners. Sir, your line is open.
Chip Dillon: Yes, thank you very much, good morning, and congratulations on all the hard work that I know has been going on for a long time. Thanks also for the update on the integration issue. It's interesting. It seems like you guys are probably among the larger players. And, you can correct me, the least forward integrated into boxes. And yet, we've seen this trend in the last couple years of independent box plants, or at least the sheet feeders that provide them, being acquired by mill owners. I didn't know if that's, especially with the last year's West Coast mill purchase, if that's something that you would consider, as you think about growing the company, is more forward integration?
Steve Voorhees: Chip, yes we would. I think we'd look at opportunities to improve our business, and that would fit within that category.
Chip Dillon: Okay, got you. Could you talk a little bit about, you mentioned the tightness in kraft linerboard. And, the AF&PA reported that if you look just at craft linerboard, the US capacity is actually lower today than it was six years ago. I'm sure part of that was due to the Smurfit-Stone shutdowns and crisis. But, nonetheless, we've seen a big competitor announce a small increase in their system capacity over the next few years. Do you feel that there are still actions you can take, to free up kraft linerboard capacity in your system? And I asked that because you've already done quite a bit of work, on your system, in the wake of the Smurfit-Stone deal.
Steve Voorhees: I think we have opportunities to improve our overall system. I think it's kind of hard to speculate on what we'll do with respect to capacity, going forward. I think in our billion dollars, we do have capital across our entire system, to improve the operating performance.
Chip Dillon: I see. Thank you.
Operator: Alright, thank you. Our next question comes from Ms. Debbie Jones with Deutsche Bank. Ma'am, your line is open.
Debbie Jones: Hi, good morning.
Steve Voorhees: Hi, Debbie.
Debbie Jones: I was wondering if you could help us understand your results in Brazil. You had a great quarter. Obviously, you’re performing much better than the market. How much of this have to do with your competitive position and the investments that you've made down there?
Steve Voorhees: I think it has a lot to do with the investments that we've made. We had a very significant investment in the middle, and they've been knocking it out of the park. We've also focused on protein markets, which fit the product that we make. We've had good success there. And then, we've expanded regionally in different areas of the country, which has given us more position in the box market. That pretty much explains the performance. I will add, all that doesn't occur without people. And I went down there, I was very impressed with the organization they have in there. They fit extremely well into the overall WestRock system.
Debbie Jones: And, just one follow up. You said a pretty attractive dividend. How should we think about that, going forward, in terms of your dividend policy? Whether it be progressive, looking at a payout or cover ratio?
Ward Dickson: Debbie, this is Ward. Although we haven't given a payout ratio, we feel like we set a pretty attractive dividend, compared to the S&P 500 Index, and competitive with our peers. We look at it in combination with our overall capital allocation strategy, in the context of both our ability to invest in our business, take advantage of acquisition opportunities, and then to also pursue share repurchases, to manage within the target leverage ratio. I think we feel pretty comfortable with where we set it, and we think it's very attractive initial dividend level.
Debbie Jones: Thank you. I would agree, and I will turn it over.
Operator: Alright, thank you. Our next question comes from Mr. Scott Gaffner with Barclays. Sir, your line is open.
Scott Gaffner: Thanks, good morning.
Steve Voorhees: Good morning, Scott.
Scott Gaffner: Hey, Steve. Just wanted to dig a little bit deeper on the projected synergy, or overall cost savings run rates. I think you said you would be at $150 million by the end of September, on a run rate basis. Is that just since July 1? Or, is that for the full fiscal year that you would get to that run rate, and is that mostly around the SG&A savings?
Steve Voorhees: What we started to do is, we started to form the teams and do the planning. We started to evaluate costs from the beginning of the calendar year. And so, It's the accumulation of efforts that has been taking place. And just remember, it's the combination of the synergies, and just the ongoing productivity efforts, that we have across the whole organization. What we did highlight is that, we will recognize a portion of the SG&A and infrastructure cost, related to some of the duplicate corporate costs, pretty quickly. And, that is contributing to the run rate. Plus, also, the procurement synergies. We're moving very quickly on sourcing activities within the combined WestRock. And, we'll start to achieve some of those gains as we exit the calendar year.
Scott Gaffner: Okay. And, when you look at the capital you outlined four 2016, the $850 million, anything you've identified on the $500 million around potential capital avoidance? Where, maybe some assets were over invested in? Maybe, could that come down in 2017?
Steve Voorhees: No. There might be someplace, but I can't think of anywhere. What we did, given the circumstances, do a very complete job of our capital planning. And, I think we are very measured in our approach, and I think that's just what we came up with.
Scott Gaffner: Okay. And just lastly, given the combined entities only been together for about one month, have you had any customers come to your proactively around cross-selling opportunities? Where, maybe, you didn't have certain substrates before? Has that come to fruition yet?
Steve Voorhees: I'm going to let Bob Beckler respond to that.
Bob Beckler: Scott, that's a great question. It's been one of the pleasant surprises of the merger, right out of the gates. We're seeing it all over with customer interests. It really falls into three categories. As you pointed out, just the sheer breadth of offer that we have in our packaging platform, corrugated folding carton, beverage, packaging dispensing systems and merchandising displays. Also, we have scale in all of these packaging segments. And so, we are number 1 and number 2 in each of those that I just listed. And then, finally, there's a recognition that these have interplay. That they are connected. And so, we're having a lot of dialogue with customers around how to connect together our capabilities. Not just around the packaging products themselves, but our ability to work with them in their facilities, to bring out the complete value that the packaging can offer. So, summing it all up, the answer is a big yes and we're very excited about the potential.
Scott Gaffner: Great, thanks for all the details.
Operator: Aright, thank you. Our next question comes from Mr. Anthony Pettinari with Citi. Sir, your line is open.
Antony Pettinari: Good morning and congratulations on the debut. Prior to the merger, the Specialty Chemicals spin was already in the works. As you look at the portfolio today, is it fair to say that you’re pleased with the WestRock portfolio as it stands? Or, do you think over the next few months, there might be additional businesses you might reevaluate, as to whether they're a fit for WestRock, longer term?
Steve Voorhees: We're comfortable with the portfolio as it currently stands.
Antony Pettinari: Okay. And then just following up on Scott's question, regarding the billion dollar target and performance improvements and you're $850 million CapEx guidance for next year, as you move beyond 2016, would you anticipate CapEx would ever need to ramp up meaningfully to hit that billion dollar target? Or, do you think you can achieve that target while keeping CapEx around that $850 million level?
Steve Voorhees: We're looking at a number of projects. And, I think they generally fit within the capital that we've had. Out there, I think we always look at our system and try to find opportunities to be able to invest capital wisely. I think the premise is that, we can do that within the capital that we outlined.
Antony Pettinari: Okay. That's helpful. And maybe just one final one. As you pursue the performance improvements, are there any large IT systems integrations, our IT rollouts, that will be required to tie together RockTenn and MeadWestvaco's financial and manufacturing systems?
Ward Dickson: Certainly, from an infrastructure point of view, there is. So, there's the opportunity to consolidate data centers across the combined footprint. And then, we do have the opportunity to harmonize some of the applications in our North American mill portfolio. And we have included those in some of our plans, over the course of the three-year period.
Antony Pettinari: Okay. That's helpful. I will turn it over.
Operator: Alright, thank you. And our next question comes from Mr. Chris Manuel with Wells Fargo. Sir, your line is open.
Chris Manuel: Good morning, gentlemen. Just a couple quick ones, because I know we are deep in the call. But, if I could come back to the - you gave a capital outlook next year of $850 million and that's inclusive of what you're doing this year, for capital return projects and other elements. What might the spend be, to get the rest of the billion dollars? i.e. maybe the $300 million of deal-related synergies, et cetera. Should we think of something as a one- to two-year payback, that's required to get those, that comes out? So, an idea of what other cost expenses are. The next cadence of that, for the next, call it, next 12 months or 18 months.
Steve Voorhees: Within the $100 million there's some of the expenses related to the IT projects, that I described. For which, we'll be able to yield some meaningful savings, again, data center consolidation and other opportunities. I think the other components of it are really, of the billion dollars, are the ongoing productivity programs that we have in both organizations. That includes investments in capital, for a return generating projects. Within the $300 million, the three key components of the $300 million were null and converting footprint optimization, SG&A and infrastructure cost reductions and then the procurement organization. Getting the leverage across the combined spend of the two companies. There really isn't a lot of other incremental cost inside the $100 million that we described. So, we had severance related costs and we have some capital related costs on the IT side.
Chris Manuel: I appreciate that. What I'm asking is, to get that $300 million in savings - so, for cash that you are going to have gone out the next 12 months or 18 months, for severance, manufacturing, optimization and other pieces. Should we assume a three-year payback, that it's $100 million then? Or, something like that? Or, how should we think about that?
Ward Dickson: Again [Multiple Speakers] a cash flow model. And, we're looking for some of the big inflow/outflow components.
Steve Voorhees: Again, we described the - out of the $100 million required to capture the synergies, we described - a portion of it is going to be paid from the pension plan assets. And then, the remainder of it will be paid, I think, over the course of the first 18 months to 24 months of the integration.
Chris Manuel: Thanks. That's helpful. I might have missed part of that. The second question I had was, as you talked about the ramp-up of share repurchase, can you maybe help us with what might or might not be, from a timing perspective, the advantage of beginning our share repurchase program either ahead? Or, the advantage/disadvantage of waiting until after you've executed the chemical spin to do that.
Steve Voorhees: I don't think the chemical spin is a factor in how we think about share repurchase.
Chris Manuel: Okay. Thank you.
Operator: Thank you. We have Mr. Mark Weintraub with Buckingham Research again in the line. Sir, your line is open.
Mark Weintraub: Thank you. I was hoping to just come back and maybe get a little bit more help, if you could, on the set up for the coming quarter. One question was, I see you have the 12 month EBITDA for MeadWestvaco and RockTenn separately. Do you have the third, what the most recent, quarter for MeadWestvaco was? And is it fair to, essentially, just use the base of those two combined? You provided guidance on a number of the other measures. But then, if we were to look at what we would've expected RockTenn, separately, to have done one quarter to the next, MeadWestvaco one quarter to the next, would that get us to a number? Or, might there be some other drivers that we need to be conscious of, that can affect where the outcome would be? I realize that it may simply be there are no other outcomes, and it's not an important question. I just wanted to make sure I was not missing something.
Ward Dickson: Some of the obvious other drivers that you have to look at is, any changes in commodity cost, sequentially. Any changes in exchange rates, sequentially. But Steve, I don't know if you have anything to add?
Steve Voorhees: Mark, I think you outlined the questions and I think you've got relevant questions. I think you're very good at going through our disclosure and putting together your model. I think what you've got, I think you should be able to work with.
Mark Weintraub: Okay. Thank you.
Operator: Okay. Speakers we still have one question on queue. This comes from Mr. Richard Leach from RLR Capital Management. Sir, your line is open.
Richard Leach: Thank you for taking my question. What do you estimate the fully diluted share count will be for the September quarter?
Steve Voorhees: $266 million.
Richard Leach: Great. That's it. Thank you very much.
Steve Voorhees: If there are no other questions, I very much appreciate your staying on this lengthy call. And, I appreciate your listening to the prepared remarks and look forward to speaking with you next quarter. Thanks.
Operator: Thank you everyone. That concludes today's conference. Thank you for participating. You may now disconnect.